Operator: Hello, everyone. Thank you for attending today's Planet Labs PBC Third Quarter of Fiscal 2024 Earnings Call. My name is Sierra and I'll be your moderator today. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Chris Genualdi, VP of Investor Relations with Planet Labs PBC, please proceed.
Chris Genualdi: Thanks, operator, and hello, everyone. Welcome to Planet's third quarter of 2024 earnings call. Before we begin today's call, we'd like to remind everyone that we may make forward-looking statements related to future events or our financial outlook. We also reference qualified pipeline which represents potential sales leads that have not yet executed contracts. Any forward-looking statements are based on management's current outlook, plans, estimates, expectations, and projections. The inclusion of such forward-looking information should not be regarded as a representation by Planet, that future plans, estimates, or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties, and assumptions as detailed in our SEC filings, which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made or to reflect the occurrence of unanticipated events. During the call, we will also discuss non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in financial and operational decision-making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this afternoon. Further, throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release. Before we jump in, I'd like to encourage everyone to reference the slides we have posted on our Investor Relations website, which are intended to accompany our prepared remarks. Finally, for each of the customer contracts referenced during this call, please note that the revenue figures we cite will generally be recognized over the term of the contract, which can last multiple years. Further, the terms of these contracts can vary and we may not realize all expected revenue. At this time, I'd now like to turn the call over to Will Marshall, Planet's CEO, Chairperson and Co-Founder. Over to you, Will.
Will Marshall: Thanks, Chris, and hello, everyone. Thanks for joining the call today. For the third quarter of fiscal year 2024, we generated a record $55.4 million in revenue, representing 11% year-on-year growth. Non-GAAP gross margins was 51.5% which is above the midpoint of our expected range. Our adjusted EBITDA loss for the quarter was $12 million, $1 million better than our guidance range driven by cost discipline and reflecting our commitment to reaching adjusted EBITDA profitability by Q4 of next year. Growth in the third quarter was driven by strength in the Civil Government and Defense and Intelligence markets, both of which saw revenue increase more than 20% year-over-year, partially offset by continued macro headwinds in the commercial sector. We've continued to add large seven and eight-figure government opportunities across several government and defense and intelligence markets to our qualified sales pipeline and while they take longer to close, large government contracts can provide a reliable foundation of long-term revenue streams with significant potential for expansion. As our business mix shifts towards government opportunities, our average sales cycles overall have naturally extended. This is just the nature of government procurement processes. In response, we have recently refocused our go-to-market strategy around those large opportunities and made additional improvements to support sales execution. Let's quickly revisit the go-to-market improvements that we're implementing, which align with what we outlined in our prior earnings call and Investor Day. These include; one, focusing on salesforce on our largest opportunities in our core markets. Two, shifting smaller commercial opportunities in other market segments through our partner network and low touch channels, including our newly acquired Sentinel Hub platform. And three, streamlining and simplifying our sales processes. These go-to-market improvements are aimed at supporting faster sales cycles, customer adoption, and expansions over time. Expanding further on our growth plan, in the near time, we see opportunities with several U.S. government entities as one of our primary near-term growth drivers. It's worth noting that in our view our relationship with the U.S. government has never been stronger and we believe we are well-positioned to significantly expand our work with this important customer in this next fiscal year. In addition, we are encouraged by the diverse global pipeline of opportunities that we've been cultivating particularly with several government customers. We've seen solid year-over-year growth in the civil government verticals throughout this year. These opportunities span all of our datasets and include additional services from our Planetary Variables, including our new carbon solutions and incremental capabilities provided by our acquisition of Sinergise. Finally, in spite of the current macroeconomic headwinds, we continue to see the market opportunity in the commercial sector as a significant growth driver over the longer term. Our strategy for the commercial sector is focused around partner-led opportunities and efficient low-touch sales motions. We see partners as a highly effective way of shortening sales cycles and speeding customer time to value with solutions and services tailored to a specific geographic market or commercial use case. And as mentioned, our Sentinel Hub platform enables smaller customers to purchase data from Planet through a low-touch channel. Taking a step back, our go-to-market strategy is built around our core value proposition, enabling board area management at a global scale not possible before. The ability to understand change taking place in board in areas of our Planet is what differentiates us and fuels adoption of our solutions. As we walk through our recent customer highlights, you'll hear how this is a common thread between customers across industries. Let's turn now to some recent customer highlights, starting with the Civil Government sector. During the quarter, we closed a seven-figure ACV contract with IGAC that Cartographic Agency of Colombia. The agency has a new customer and is using PlanetScope and SkySat data for a range of applications, including geographic studies, professional training, as well as improved land use, planning and risk management across Colombia. We expanded our contract with an Australian-based partner, NGIS, who uses Planet Data to provide critical geospatial services to Australian Civil Governments, supporting resource management and natural disaster response for wildfires and floods. Turning to Defense and Intelligence market, during the quarter, we saw a seven-figure ACV expansion with an Asian Ministry of Defense customer for our high-resolution SkySat tasking capabilities. It was great to see the customers' data consumption grow as we had expected. In Latin America, we've added a government intelligence agency as a new customer. They're using our PlanetScope and Skysat data for broad area monitoring. We also closed a new contract with SI Analytics, a South Korean-based AI company, who are using our solutions to do anomaly detection in North Korea. SI Analytics originally started as a Planet partner, is now our customer as well. SI Analytics users PlanetScope to run analytics for defense and intelligence customers. More broadly, we are seeing growing interest from defense and intelligence customers globally for the capabilities unlocked when combining our deep data archive with artificial intelligence. We think of this combination as an incredibly powerful tool to scan, search, and monitor. We enable them to rapidly find new threats, monitor them on an ongoing basis and act as a powerful time machine for forensics of what happened in the past over large geographic areas of land or sea. Turning to agricultural solutions. We recently renewed and expanded our seven-figure contract with BASF Digital Farming, the European-based multinational chemical producer. They're using PlanetScope and our Planetary Variable solutions for broad area management to deliver targeted and timely agronomic advice for their customers. We also signed a new contract with the USDA's Foreign Agriculture Service. FAS links U.S. agriculture to the world to enhance export opportunities and global food security. They plan to use our broad area management solutions to support the production of crop-type maps and area estimates overseas. Also in the commercial vertical, we recently announced the addition of onX Maps as a new customer. They are using Planet's base maps to provide outdoor enthusiasts with up-to-date imagery of outdoor recreation landscapes. This is a great example of how Planet's Data is making its way into the hands of consumers. onX was recognized by Time Magazine for having one of the best inventions of 2023. The recent imagery product which leverages Planet's Data, one of the outdoors category. Turning to product updates, where we've had three key launches. Firstly, on November 11, we successfully launched 36 SuperDoves, and our first Pelican Tech demo into orbit on board a SpaceX Falcon 9 rocket. We established contact with all of the satellites within just a few hours of the launch. I'm pleased to report that the on-orbit testing we're conducting with the Pelican Tech Demo is going well, providing valuable insights and learnings about this new spacecraft design. This marks our 33rd successful launch and our 569th satellite successfully launched and deployed. I'd like to note that while we often take these accomplishments for granted, what our team does here is nothing short of remarkable. Planet's ability to rapidly build satellites affordably and at scale is truly exceptional. I'd like to thank all of the team at Planet for their hard work and dedication in making this latest launch a success. Secondly, as already mentioned, we launched Planet Data and Services on the Sentinel Hub platform with transparent pricing and packaging, enabling low-touch or self-service sales for small deals and giving partners what they need to more flexibly and rapidly build solutions on top of our data. Finally, last month, we launched our new Forest Carbon product. Our 10-year data archive of Global Forest Carbon is accurate, affordable, and scalable, helping to solve longstanding challenges associated with measuring Forest Carbon Stocks. We've launched this Forest Carbon Solution with open and affordable pricing to support faster customer adoption and early market capture. We're pleased with the early demand building for this new product and we were very excited to win our first customer, BeZero Carbon. BeZero is a carbon ratings agency and they have adopted this groundbreaking solution to help their clients make more informed carbon credit investments. We're seeing strong interest in the carbon -- in project developers', carbon marketplaces, standard-setting bodies, and others across the carbon value chain. In summary, during Q3, we saw a solid growth in our civil government and defense and intelligence markets. We focused on efficiency in our go-to-market execution as outlined in our Investor Day. We also had a great product quarter, launching 37 satellites, bringing our new Forest Carbon product to market, and enabling low-touch access the Planet Data by Sentinel Hub. The pace of innovation and development of Planet is truly incredible and we're doing all this while maintaining disciplined spending to support our path to adjusted EBITDA profitability. Overall, our conviction in a significant opportunity for our solutions remains firm. The ability to understand change taking place in broad areas of our Planet is what differentiates us and fuels adoption of our solutions. We continue to see the market for our solutions as enormous driven by the tailwinds of security, sustainability, and digitalization worldwide. I'll now turn to Ashley for review of our financials and our outlook. Over to you, Ashley.
Ashley Fieglein Johnson: Thanks, Will, and thanks everyone for joining today. As Will mentioned, our revenue for the third quarter of fiscal '24 ending October 31 came in at a record $55.4 million, which represents 11% year-over-year growth. This was driven by strength in the civil government and defense and intelligence markets, both of which grew more than 20% year-over-year, partially offset by the continued headwinds we've seen in the commercial market. From a geographic perspective, we continued to see a strong diversification of our customer base. EMEA revenue growth was especially strong in Q3, up almost 70% year-over-year, while revenue in both Asia Pacific and Latin America grew more than 20% year-over-year. North American revenue decreased by 11% on a year-over-year basis, primarily impacted by the discontinuation of the legacy contract we've discussed previously. As Will mentioned, we see multiple significant growth opportunities with various U.S. government entities in the near term and we continue to build out our partner ecosystem to address the longer-term opportunity we see in the commercial markets. As of the end of Q3, our end-of-period customer count was 976. This count does not include customers who are exclusively self-serve users on our Sentinel Hub platform, which we acquired with the Sinergise business. Recurring ACV or annual contract value was 94% of our book of business and over 90% of our ACV book of business consists of annual or multi-year contracts. Our average contract length continues to be approximately two years weighted on an ACV basis. Year-to-date, net dollar retention rate was 104% and net dollar retention rate with win backs was 105%, both up slightly from the prior quarter. Increases in net retention rate are typically driven by the timing of large expansion contracts with existing customers. And as we mentioned on the last call, we've seen longer sales cycles with some of our larger expansion opportunities. These opportunities remain active and our go-to-market changes are focused on capturing this business and improving our sales cycles. Just as a reminder, as detailed in our quarterly earnings investor presentation, our net dollar retention rate starts on day one of each fiscal year at 100%, then develops through the course of the year towards our final full year results. Turning to gross margin. Our non-GAAP gross margin for the third quarter of fiscal '24 was 51.5%. Similar to the prior quarter, non-GAAP gross margin during Q3 was impacted by the accelerated depreciation of two SkySat satellites. This impacted Q3 non-GAAP gross margin by approximately 6 percentage points. This accelerated depreciation expense will continue at a lower level in Q4 and reach completion by the end of this fiscal year. Adjusted EBITDA loss was $12 million for the quarter, better than our guidance and marking another consecutive quarter of narrowing losses driven by cost management and our commitment to reaching adjusted EBITDA profitability by Q4 of next fiscal year. During Q3, we incurred a non-recurring restructuring charge of approximately $7.3 million, offset by a $1.5 million benefit in stock-based compensation, all related to our headcount reduction in August. In addition, we incurred a $2.3 million non-recurring charge in the quarter primarily impacting R&D related to the acquisition of Sinergise. These expenses are excluded from adjusted EBITDA. Capital expenditures including capitalized software development were $8.6 million for the quarter or approximately 16% of revenue. Turning to the balance sheet. We ended the quarter with $315 million of cash, cash equivalents, and short-term investments, which we continue to believe provides us with sufficient capital to invest behind our core growth accelerating initiatives and achieve cash flow breakeven without needing to raise additional capital and we still have no debt outstanding. At the end of Q3, our remaining performance obligations or RPOs were approximately $153 million, of which approximately 82% applied to the next 12 months and 97% to the next two years. Please keep in mind that RPOs can fluctuate quarter-to-quarter as multi-year contracts come up for renewal. Also remember that our reported our RPOs exclude the value associated with the EOCL contract as well as other contracts that include a termination for convenience clause which is common in our U.S. federal contracts and occasionally found in other customer contracts as well. For the fourth quarter of fiscal '24, we're expecting revenue to be between $56 million and $59 million, which represents growth of approximately 6% to 11% year-over-year. We expect non-GAAP gross margin for Q4 to be between 52% and 56%. We expect our adjusted EBITDA loss for the fourth quarter to be between negative $12 million and negative $9 million. We are planning for capital expenditures of approximately $14 million to $16 million. For the full fiscal year ending January 31, 2024, we expect revenue to be between $218 million and $221 million or growth of 14% to 16% year-over-year. We expect our non-GAAP gross margin to be between 53% and 54%. We expect adjusted EBITDA loss to be between negative $58 million and negative $55 million and we expect capital expenditures to range between $46 million and $48 million. In summary, we are in a period of transition as we focus our go-to-market resources around the largest opportunities in front of us, which we expect in the near term to be predominantly in the government sectors on a dollar-weighted basis. We are expanding our partner ecosystem to continue to develop opportunities in the commercial markets as the macro tailwinds of digitization and sustainability continue to see new opportunities for our data and analytics each day. We are aligning our investments to drive growth in the near term, while carefully managing expenses and continuously exploring opportunities for greater internal efficiencies that we believe will make it easier to work with Planet as well as at Planet. As always, I want to thank our Planetiers around the globe for their continued execution and commitment. Operator, that concludes our comments, we can now take questions.
Operator: Absolutely. We will now begin the Q&A session. [Operator Instructions] Our first question today comes from Jason Gursky with Citi. Please proceed.
Jason Gursky: Great. Good afternoon, everybody. I just wanted to dive a little bit more into the go-to-market strategy and have you discuss a little bit about this idea of [indiscernible] and going after really, really large contracts. Just kind of curious if there are any -- you talked about seven-figure potential contracts out there, but are there any eight or nine-figure contracts that you have the opportunity to go after here and maybe just talk a little bit about where you're seeing the greatest opportunities from a geographic perspective. Thank you.
Will Marshall: Yeah. Great question. We have a number of eight-figure deals. I think we've previously mentioned that about eight and we've continued to bring in more eight-figure deals and seven-figure deals through the year. What we're mainly seeing them is, in defense and intelligence but also civil government, we've got real opportunities both, and geographically, I would say a lot of it's in the U.S., but we do have a number of these big deals in the rest of the world as well and so it's primarily in those two sectors. Does this answer your question?
Jason Gursky: Yeah. Sorry, I am at an airport. I'm going to leave it there. I appreciate you guys taking the question.
Will Marshall: Okay. No worries.
Operator: Our next question comes from Trevor Walsh with JMP Securities. Please proceed.
Trevor Walsh: Hi, team. Thanks for taking my questions and congrats on a solid set of results. Will, I'll start with you if I can. Congrats on the successful launch of Pelican, it sounds like the initial Demo is helping you guys get some good lessons learned. Just curious if, I know in the last earnings call you reiterated or confirmed that there's not necessarily a revenue opportunity kind of driving from this Pelican one satellite, but can you maybe help us understand a little bit better as to what the uplift potential within the current accounts might be from the new set of spacecraft just being that they are, in fact, have just higher res, higher revisit, all the kind of technical abilities that are added are better with Pelican and then also the low cost like just kind of how from a topline perspective that might, how are you guys looking at prices increase potentially there around those capabilities? How will customers kind of feel I guess in terms of what they're paying currently versus later? Thanks.
Will Marshall: Yeah. Great question. So firstly, we're very, very happy with the Pelican spacecraft. It's going really well. All of the commissioning is going well and we're learning a huge amount, very, very good so far. And it is a Tech Demo, so yes, this is not going to be revenue producing just to confirm what you said. To the capabilities, yeah, so it's going to be better on multiple axes, high resolution. We talked about 30 centimeters higher revisit rates when we ultimately get our full fleet be higher revisit rates than our present 10 per day going up towards 30 per day. But probably the biggest substantive increase is the fact that as we add satellite-to-satellite communications on these vehicles, it enables us to lower latency. And to your final point, lower latency is something very differentiated and high value, and so you can definitely charge more. So you can charge more for higher resolution, you can charge more for lower latency, and I think that, the lower latency is almost a 10x improvement on our current system, so that is a big deal getting, the sub-hour latency. Does that answer your question or do you have another one?
Trevor Walsh: Yeah, absolutely. I appreciate the color. And then, if I could just do one follow-up maybe for Ashley, although Will feel free to chime in too. Good work on the new customer count accelerating kind of in the quarter, we -- just at least as we look at in our model, it looked like the revenues for average number of customers may have ticked down and just wondering if that's a result of maybe and a larger number of smaller customers kind of entering the cohort this quarter and if that is the right way to look at it is that kind of a signal of some of your go-to-market improvement efforts around whether it's the self-serve platform or some of the partner led motion kind of bearing fruit and bringing some smaller group of -- smaller customers into the mix this quarter? Thanks.
Ashley Fieglein Johnson: Yeah. Thanks for the questions. I'd have to look a little bit more closely to answer the revenue per customer question more specifically, but I'd say, yes, we do have more customers coming on board through the Sentinel Hub platform, now that the Sinergise acquisition is closed and that is an opportunity for us to really scale up low-touch customer onboarding and also enable partners to create solutions on top of our data more easily through those APIs. So in terms of deal sizes that's actually consistent. So I would suspect if I were to dig into the details behind the average revenue per customer, what we're probably seeing is a little bit of the impact from bringing on the Sinergise customers, but I'd have to get back to you to look into that more specifically.
Will Marshall: And if I can just add a tiny thing on the prior question, I forgot to mention, of course, it wasn't just the Pelican that we launched, we also launched 36 SuperDoves, and although, we take that sort of for granted, because that's primarily continuing operations of that daily scan fleet. Firstly, that's our bedrock fleet and gives the daily scan, which is so differentiated, and secondly, yeah, we take for granted being able to rapidly build and launch and operate large numbers of satellites like this, but basically that's one of the very few companies in the world can do that and really that's incredibly a strong differentiator that we sort of take for granted sometimes.
Trevor Walsh: Great. Thank you, both, so much. Appreciate it.
Ashley Fieglein Johnson: Thank you.
Operator: Our next question comes from Michael Latimore with Northland. Please proceed.
Michael Latimore: Great. Yes. Thanks very much. What are you thinking about in terms of the NDR number for the fourth quarter?
Ashley Fieglein Johnson: Yeah. Obviously, that's driven by the timing of when some of these larger expansions land that will impact where we end up landing on that number for the year. As I said in the prepared remarks, we ticked up quarter-over-quarter and I feel very good about where we are on overall retention rates. It's just a matter of that NDR ultimately depends on some of the larger expansion opportunities and the timing of when they come in.
Michael Latimore: Okay. And then, you seem positive on the U.S. government opportunities in the pipeline, can you mention a use case or two that might be in the mixer?
Will Marshall: Yeah, actually there's several. I mean, so we've got multiple opportunities both on the civil government side expansions and new partnerships there and on the defense and intelligence side and it's also both expansion and new parties. If you get that, the US government is not a monolith. There's really multiple agencies in both sectors that need our data. We also -- and in addition seeing a lot -- so there's a lot of pull from them mainstream -- mainstay products, but we're also seeing a lot of new and heightened interest both in the U.S. government and international governments for AI on top of our PlanetScope Imagery that enables you just search and scan large areas for new threats or emerging changes and that is proving to be a very strong pull as well and that's something that's only be possible very lately because of the large language models on top of PlanetScope imagery, and so that's providing an extra pull as well, but, -- yeah, the use cases vary a lot by the different agencies, I can't speak to all of them right a second, but it's strong pull in both sides.
Michael Latimore: Okay. Great. Thanks so much.
Operator: Your next question comes from Ryan Koontz with Needham and Company. Please proceed.
Ryan Koontz: Thanks for the question. Start with Ashley, can you unpack the kind of step down in commercial we're seeing here? You mentioned the legacy contract churn there, is that the prime reason here behind the step-down? There are other things going on and is this -- does this quarter mark the kind of the end of that impact or is it going to continue to linger on for future quarters on that impact? Thanks.
Ashley Fieglein Johnson: Yeah. Thanks, Ryan. The primary driver on the revenue year-over-year comparison commercial is that legacy contract that came to an end in Q1 really and that was just a small tail, so really -- as you pointed out, Q4 is the end of that year-over-year compare headwind. We did see softness in some of the renewals a year ago. We talked about in the commercial market, that also was a secondary headwind coming into the year and commercial is continuing to see headwinds in terms of expanding those businesses. So we do anticipate a lot of the growth in the next year coming from the commercial -- government sector. But that said, we still are very big believers in the opportunity in the commercial space and just view it as an opportunity that we will be pursuing with our partner ecosystem.
Ryan Koontz: Got it. That's great. And just a couple of quick product questions for Will on the Forest Carbon product, can you kind of walk us through that business model and how you productize that for these sorts of customers, that will be really helpful? Thanks.
Will Marshall: Yeah, absolutely. So that's one of our Planetary Variables for everyone's benefit the -- basically enables us to measure -- I mean, we've been doing deforestation monitoring and helping countries with that for a long time, but this actually gets at quantifying the amount of carbon stock in forest and initially at 30-meter level, and next year, we'll be launching a 3-meter level, which is almost an individual tree level, very excited by that. We've seen a lot of interest. The hope is that this will help underpin carbon markets. We've been very pleasantly surprised by the amount of initial demand amongst both the sort of regulation side of this. So the people that are checking the math, if you like, on everyone's carbon trading as well as the marketplaces that are trying to match-make between buyers and sellers of carbon, which of course both sides want to check the math as well and so on both fronts of that we've seen demand and we were -- of course -- I mentioned in my prepared remarks that our first customer there, BeZero Carbon, which is the marketplace and we are very proud to be seeing that interest so early in that new product. Sorry, BeZero is a carbon rating agency, I should say, it's in the form category.
Ryan Koontz: Got it. Really helpful. Thanks so much. That's all I have.
Will Marshall: No problem.
Ashley Fieglein Johnson: Thank you.
Operator: Your next question comes from Noah Poponak with Goldman Sachs. Please proceed.
Noah Poponak: Hello, everyone. With the expanding Defense and Intel and civil government opportunity set that you're referencing, are there contract names you can cite that we can follow or is it some combination of small or classified or extension or reprogrammed dollars or something that we can follow?
Will Marshall: I mean, most of them are public procurement mechanisms you can follow. I would just say that it takes a lot to follow. I mean, there's a lot of different agencies that you have to track, but no, mostly public procurement. There is no huge one outstanding to just point out like EOCL is of course our mainstay contract with the NRO and there is opportunities for expansion there and you can watch that, but there's no big other ones to just pull out and identify for you right the second, but we certainly continue to monitor all of those, of course, that's our job.
Noah Poponak: Will, can you mean the one or two largest even understanding it's maybe a pool of with no single one that's much larger than the others, but whether its size or just what's most exciting to you because of what it means for your future, just something we could track I think would be helpful.
Will Marshall: Yeah, I mean, the two biggest ones that we presently have are the NRO's EOCL and there's lots of expansion opportunity there. The relationship is very good and the other is on the civil side with NASA, which is called CSDA, and you can track that and the budgets are very healthy going into that. So those are the two biggest ones that I can name off the cuff. We could try and get back to you if you want further details on that.
Noah Poponak: Okay. Great. On the commercial side, Ashley, you made a comment about working with your partner network kind of like, while you wait for the end market to come back to you or the set of end markets come back to you or I guess maybe the macro to come back. Can you expand on that like what are you actually doing? Why are the partner networks willing to do that? How does that help you once demand comes back?
Ashley Fieglein Johnson: I think it's more about the fact that the market on the commercial side is still relatively immature especially when you think about the broader market opportunity and they will require solutions that incorporate our data and extract value from the data for them because they're unlikely, for example, to have geospatial analysts on staff. So really it's about making it easier for our partners to develop those solutions that will effectively drive the value to the end customer. So that's effectively what I meant by really leaning into the partner ecosystem to drive that ultimate value to the end customer in the commercial market to really get that market off the ground.
Will Marshall: And if I could just add to keep our sales reps focused on the big deal opportunities, which are primarily right this second in civil government and defense and intelligence. So we see a huge future in commercial. We continue to see that and we continue to do deals. I mentioned a few in my prepared remarks, right, but the biggest ones in defense and intelligence and civil government and so we want to focus our energies on that. So it's both because they need solutions, that Ashley was saying, but also because we want to focus our attention on the pipe of opportunities and progressing them through to close and that's more in civil government and defense and intelligence.
Ashley Fieglein Johnson: But there are commercial markets that are more advanced and we will obviously continue to sell into them including agriculture and insurance for example.
Noah Poponak: Okay. Great. Thank you so much. I appreciate it.
Operator: Thank you. Our next question comes from Edison Yu with Deutsche Bank. Please proceed.
Edison Yu: Thanks for taking our questions. Wanted to ask about the cadence of growth. Since in Q4, the implied is 6% to 11%, do you think that represents perhaps the bottom given that some of the headwinds go away in the first quarter, do we see that sort of a bottom in terms of year-over-year growth?
Ashley Fieglein Johnson: I think it's important to understand that one of the biggest headwinds that we had. Coming into this year was the legacy contract that came to an end. So Q4 will mark the end of that headwind. We're obviously leaning into a lot of opportunity that we see and especially with large expansions with existing customers leaning into the opportunity in the government sector and the timing of when that business lands. Obviously, will determine ultimately how our growth accelerates going beyond Q4. We remain very optimistic about the ability of our teams to execute in the market that's there for us just based on the continued pull that we feel and we've had challenges this year with timing of bringing that new business in and the longer sales cycles, but still remain very optimistic in our ability to reaccelerate growth. Anything to add there, Will?
Will Marshall: Yeah. I mean I would only say, of course, we're not satisfied with that sort of growth rate, we want to continue to drive towards higher growth rates, we think that is possible. I'm firmly convinced that that's possible. And we got a huge pipeline that we're working on. We please tell you that it's progressing in stage, we're moving things along and we are closing some deals, it is still taking a bit too long, and with our job to go close it. You've heard how we are focused. Our efforts are really focused right now to improve that execution, focusing on the big deals, trying to automate the small deals, making it easy to work at Planet, just trying to reduce the time to value for customers so that we can land and expand them. We're very focused on those efforts that the areas are in our control to improve win rates and so on that pipe, but that's where we're heads down and focused. We certainly think it's possible to accelerate growth.
Edison Yu: Understood. Longer term question, in terms of the commercial market, do you have a view on when that might kind of turn around? I understand it's probably not anytime in the near term, but is this a couple of years, is this five years? Just when do you think that can kind of reaccelerate meaningfully in the future?
Will Marshall: I would say a few things, some of the headwinds we saw are macro driven, like in the agriculture market, which where we saw some headwinds, that is macro-driven, and so, when that ends, but I also think that we are continuing to see deals -- I mentioned some of the deals that we did on the commercial side, and as Ashley mentioned, we have a lot of opportunities to make tooling and simplified ability to access that. We launched the Sentinel Hub, a platform that enables low-touch access, so that people have -- and tools so that they can start building products and services and we're working closely with partners that have good solutions for specific vertical markets. I'll just add finally, that just like in the -- I mentioned earlier in the government sector, AI is a strong tailwind, I think the same is true here, it's going to help a lot, and it's because AI helps skip a bunch of steps in getting to answers. So you can query (ph) getting us closer to the vision that I had launched in TED (ph) Talk in 2018, six years ago -- five or six years ago, which spoke about this queryable (ph) Earth and that's a bit of an ultimate vision here, that any commercial client could ask any question of the data, just like you can now ask questions about text of the internet with ChatGPT 4, that queryable vision is becoming closer to reality with these large language models, and we're really seeing that tick up. You'll note that a number of big companies, from Microsoft to Google to others, are releasing these multimodal large language models, which is a step from them treating just text on the internet to also treating images and videos and audio track and that plays to our strength enormously because we have this massive proprietary archive of imagery data. So as those models get better at dealing with the imagery and understanding the context in those images, the faster we can leverage that to then provide answers to commercial clients who don't have, big geospatial expertise. So we really -- again, believe overall in the long term, in the commercial market, it's a huge opportunity to go after.
Edison Yu: Got it. And just one last one for me, housekeeping, can you tell us or remind us what is the contribution from Sinergise in the full year number at this point?
Ashley Fieglein Johnson: I think last quarter we said we expected it to be somewhere between $4 million and $6 million on the year and I think we're in line with that expectation. It's small enough that we aren't breaking it out, but generally, it's performing in line with our expectations.
Operator: Thank you. Our next question comes from Jeff Van Rhee with Craig-Hallum. Please proceed.
Jeff Van Rhee: Great, thanks. Just a couple remaining here, on the sales changes, any measurable evidence you can share with respect to the sales changes working either, concrete improvements in cycles or other measurable. I know you're focusing on the big deals, automation, and making it easier to work with you, but any -- even if they're green shoots, any concrete evidence that the changes are having positive impact?
Will Marshall: Ashley, do you want to speak to that?
Ashley Fieglein Johnson: Yeah. I'd say, first of all, obviously it's still early days. I'd say, the good news is, we've seen a lot of those metrics really stabilize. We're not seeing sales cycles go longer than what we talked about before, and obviously, we're focused on now bringing them in shorter. Similarly, I talked about the fact that deal sizes have generally stabilized and as we lean into the larger deal opportunities, we would expect those to expand as well. So we're looking at the same types of metrics that you would expect us to be focused on making sure that we close the business that's in front of us, shorten the sales cycles going forward, and as Will said, really make sure we drive that time to value for the customers so that we continue to land and expand so that's where we're focused. We're in a transition, But we feel really good about what we've implemented so far and the early results we're seeing.
Jeff Van Rhee: Okay. And then one brief one on Sinergise, I know you just touched on the four to six for the year, just curious if you'd expand or there is any other color to provide there, any behavioral clues that have been provided by the existing Sinergise base the way they've reacted thus far, any other indications of either upside or downside to what you thought you bought there.
Will Marshall: Overall, we feel very positive about the acquisition and how that team is performing. We do see a lot of opportunities coming in related to the tools that they have there. A lot of it's things like automating the onboarding of those new capabilities so that we can scale to more actors with any given solution, so that's goodness. As far as I'm concerned, because that means there is the demand and pull.
Ashley Fieglein Johnson: Yeah. I'd say that, very pleased so far. Obviously, it's an incredible talent pool and a great platform. We've moved very quickly on the integration side to enable our customers to leverage those tools and their customers to access Planet data through the platform and now we're continuing that integration process to create a more seamless experience across the user base and to really push the new capabilities through our sales teams.
Jeff Van Rhee: Okay. Fair enough. Thank you.
Ashley Fieglein Johnson: Thanks, Jeff.
Operator: Our last question for today comes from Chris Quilty with Quilty Space. Please proceed.
Chris Quilty: Thank you. I just wanted to follow up just a little bit on the Pelican, congrats on that initial launch, and obviously beyond the normal, first light and calibration of the satellite, you've also got a different element to it -- which is the altitude and altitude maintenance. Do you have an idea of how long you expect to go through validation before you can sort of make the decision to pull the trigger on the bigger commitment to the fleet?
Will Marshall: Yeah. I mean it takes normally of order months to fully understand these spacecraft in orbit and we're feeling very good about where we're at on that right now as I mentioned earlier. Yeah, and then as you say that helps determine sort of key decision points to then build the rest of the fleet. We are already, by the way, ongoing in building a bunch of those -- the exact timing and we then pull in learnings into that as we build that out, so of course, we don't -- of course, send them to launch site before we've really understood how that first one is working so -- but that construction process is already ongoing for the next set, the first block one, as we call it spacecraft set. Overall, I feel very good about the pace of that program right now.
Chris Quilty: Got it. Sorry, I think I have a little [Technical Difficulty] problem. Are you still taking in new customers on the early access program and have you seen any growth in that pipeline?
Will Marshall: You mean for tonnage (ph), I presume.
Chris Quilty: Yes.
Will Marshall: Do you mean for the hyperspectral mission? Yeah, I think it was a limited cohort. Maybe that's one or two that were added, but we have -- they have been progressing, use cases and showing early demand there are real deals there and, yeah, so we feel good about that program as well and it's great that we've, we had this JPL instrument in the lab and integrated into the spacecraft, it's very exciting to see the developments downstairs as well. So, yeah, feeling good about that program as well.
Chris Quilty: And did you provide expected CapEx on that program and over what timeframe and looking for first launch?
Ashley Fieglein Johnson: So that program is categorized as an R&D program because it's the first time we've launched a hyperspectral satellite and that has been in partnership with the team of our Carbon Mapper and NASA JPL, and we have funds that we've received for that program and those get recognized not as revenue, but is actually an offset to that Contra R&D, so you don't really see that show up as CapEx on our balance sheet. And as a company that does agile aerospace, we are very different in that respect from what you might see from others, where you see a lot more CIP sitting on the balance sheet for a program like this. In terms of the overall size of that fleet in that program and the timing, we haven't given a lot of specifics because we are still in the R&D phase as we get closer to the launch of that fleet, we'll share more details.
Will Marshall: If I could just add one more thing, just like the Carbon Planetary Variable I mentioned earlier, there is interest on both the regulatory side as well as the users that would use it to stop and get ahead of regulation to the commercial side, if you like. And on that point, we've made a couple of announcements at COP, the meeting is ongoing right now in Dubai relating to this because as we get better measure of all of these emissions and we are getting indirectly right now and helping this organization climate trace, which tracks over 350 million facilities globally, renewable energy facilities, emitters with our visual data, this will then add to that, to be able to have more quantified emission amounts of data, which is all feeds into, if you like, the transparency and accountability. And as we transition to a sustainable economy, it's a massive transition, many, many tens of trillion dollars as we transition to a sustainable economy, but there's no way that it is going to be possible without the careful measurement as we've discussed before, whether that's the Forest Carbon piece or the emission piece that we just talked about here. So we really care about it from a pure sustainability point of view, it fits our mission, but there is a massive market opportunity as well and so we're going after that.
Chris Quilty: Great. And final question, just you talked about the latency with the RF crosslinks on the Pelican, I think that was announced C-band, SES, but you also had an announcement with Telesat and KA, can you just give any color on how that's proceeding and do you need any specific FCC licenses to operate those crosslinks.
Will Marshall: Yeah. We are pursuing two programs there, one with ViaSat, one with Telesat. They're both supported by NASA -- NASA CSP program that helps fund that R&D. They are both proceeding according to plan as far as I'm aware. I think they're more into KA band than the C-Band, but I may stand corrected there, I don't know, we can check for you and confirm the details.
Chris Quilty: Great. Thanks so much, guys.
Ashley Fieglein Johnson: Thank you.
Operator: Thank you all for your questions. There are no questions waiting at this time, so I'll turn the conference over to Will Marshall, CEO for closing remarks.
Will Marshall: Well, look, overall, I feel like we had solid growth in both our civil and defense markets as we've been talking to. We're very focused as a team on the go-to-market execution to close the opportunities in front of us to close faster and make customers successful to land and expand. We feel good about the multiple product milestones we mentioned, including the 37 satellites, the Pelican we've be speaking a fair bit about, Forest Carbon, and getting low-touch access to Planet's data via the Sentinel Hub system, the new platform that we acquired from Sinergise over the summer. We also doing all of this, while keeping a disciplined spending on our path to adjusted EBITDA profitability by Q4 of next year. Overall, I would say our conviction remains high in the opportunity in front of us and so with that we will look forward to seeing you next time.
Operator: That will conclude today's conference.